Operator: Good day ladies and gentlemen and welcome to your first quarter fiscal 2009 earnings webcast. (Operator Instructions). I would now like to turn the program over to Mr. Jeff Unger. Please go ahead.
Jeff Unger: Thank you Mary. Good morning everyone and thank you for joining us for Casual Male Retail Group’s First Quarter 2009 Earnings Call. Today’s discussion will contain certain forward-looking statements concerning the company’s operations, performance and financial conditions including sales expense, gross margins, capital expenditures, earnings per share, store openings and closings, other matters. Such forward-looking statements are subject to various risks and uncertainties that could cause the actual results to differ materially from those assumptions mentioned today, due to a variety of factors that affect the company, information regarding risks and uncertainties are detailed in the company’s filings with the Securities and Exchange Commission. Our complete Safe Harbor statement is available at www.casualmalexl.com. On our call today is David Levin, our President and CEO and Dennis Hernreich, our Chief Financial Officer, Chief Operating Officer and Executive Vice President. I’d like to turn the call over to David.
David A. Levin: Thank you Jeff. This morning we announced the results for the first quarter of 2009. Our performance exceeded our planned expectations. For the year, we anticipated that business would continue to be challenging and planned the year at a negative 10% comp which was consistent with our performance in Q4 of last year. We reported a minus 10.7 for Q1 of this year. What we have encountered has been a stabilization of the business which has been a positive for the company and that we have a better sense of how to react in this difficult environment. Our management group has been proactive in adjusting how to operate with the shortfall in top line sales. Our operating results for the quarter pretty much sum up how effective these adjustments were. With a $10 million drop in sales for the quarter, we managed to actually earn $336,000, which was slightly better than last year. Dennis will review in detail how this was accomplished, but needless to say, it took a lot of discipline to get there. What excites me the most, however, is knowing that when business does stabilize, our earnings power will be greater than we’ve ever envisioned. Going into this year, our strategy was not to try and drive top line sales in this type of economy. Our focus was to improve cash flow, continue to lower our inventory levels, reduce our debt and improve our gross margins. All these metrics are forecasted to improve throughout the year even with the negative comp performance. At the expense of some top line sales, we’ve significantly reduced our marketing spend by $13 million in 2009. Most of the reduction has come from prospecting for new customers. We’ve eliminated our television spend for the year – a $5 million expenditure in 2008. In addition, we’ve cut back on Prospecting Catalog circulation; the number of catalog drops, page counts and often the size of the catalogue itself representing another $5 million. We’ve introduced this year smaller catalogs for the pure internet shopper and diverted some of those dollars into more efficient online media. This initiative of reducing print and investing more in the internet follows the trend of the consumer as we see our customers naturally shift from the traditional catalog shopper to the internet. The balance of the reduction is made up of reduced costs of production, of marketing materials for in-store presentations, grand opening expenses and PR. It’s important to know with these reductions our customers will continue to receive marketing communication of new products and sales promotion activity as well as our continued loyalty program through direct mail and e-mail programs. The marketing results for the first quarter delivered improved profitability in all divisions even with the loss of top line sales. Our sales performance by division was consistent with the way business trended in last year’s fourth quarter. Casual Male comps were down 6.7%, and Rochester was down about 27%. Rochester’s performance was consistent with the problems in the luxury sector today. The Rochester customer profile is similar to other high-end retailers such as Saks, Neiman’s, Nordstrom’s and Barney’s. The traffic in our stores is facing the same problems. As we announced on the last webcast, a full-fledged Rochester clothing store has a limited market base to operate in. The big and tall market cannot support this model in suburban and secondary markets. In this quarter, we are taking five Rochester locations that have been operating at a loss and converting them to what we call hybrids. All five locations have a Casual Male store less than half a mile from the Rochester stores. The stores will be co-branded Casual Male XL/Rochester Clothing with the Casual Male store being closed and re-located to the bigger Rochester box. We plan on assorting the hybrids with most of the Casual Male product in the balance with the best selling Rochester products for each existing store. This should be a big win for the Casual Male customer who’ll have a larger assortment of styles to choose from along with tailoring and better customer service, and all of the hybrids should be open by mid July. We are also addressing the assortments of the remaining Rochester locations. The inventory is being rebalanced with a higher concentration of opening price points where we are seeing better sell-throughs during the current spring season. We are also seeing the vendor community react in a similar manner with lowering of their price points for the fall and holiday seasons. Also we had anticipated the current sales trends and our inventories are in line and we don’t foresee having to take excessive mark-downs in the fourth quarter, like we did last year. Dennis will now review the financials for the quarter and the outlook for the rest of the year. Our outlook has improved significantly since our last webcast on March 19th. This has been accomplished by judiciously reviewing every expense center throughout CMRG, and re-evaluating how we operate today and in the future. We are confident that if business continues on the track it is today, we will end the year with the healthiest balance sheet since we acquired the company back in 2002. And on that note, I’ll pass it over to Dennis.
Dennis R. Hernreich: Thank you David and good morning to you all. Thanks for joining us as we describe our first quarter business results. In our last earnings call in March, when we ran over the company’s fourth quarter and the 2008 performance, we described in detail the company’s primary financial goals for 2009, the highlights of which were; optimizing cash flow by reducing SG&A by 9% to an expected level of $162 million for 2009, reducing capital expenditures to less than $5 million, improving merchandise margins by 225 to 275 basis points from 2008 by appropriately managing fashion inventory levels to minimize clearance mark downs, the source of which, the source of over ¾ of CMRG’s total mark downs and reducing inventory levels by approximately 10% by the end of 2009. And thereby producing free cash flow of 2009 in the neighborhood of $15 million with the plan to reduce bank debt to between $30 to $35 million inclusive of the term-loan. While we are still expecting an approximate 10% decline in CMRG’s sales volume for the year, we have made some significant improvements to our expected earnings performance that David alluded to. The Q1 update of our 2009 financial goals is as follows. We further reduced SG&A cost to 2005 levels and are now expecting a total reduction of 15% in expenses in 2009 to an approximate level for the year of 151 million representing a 11.5  million improvement from our last guidance. Capital expenditures are still planned to be less than $5 million consistent with our last guidance. Merchandise margins are expected to improve by 275 to 325 basis points over 2008 merchandise margin levels as a result of further reducing less productive promotions in the latter part of the year. This represents a 50 basis point improvement from our last guidance. Inventory levels are in trend to be reduced by another 10% by the end of the year, consistent with our last guidance. At the end of quarter one, incidentally, inventories are 15% less than last year. And finally free cash flow for 2009 is now expected to approximate $25 million. Up by $10 million from our last guidance with a plan to reduce bank debt to between $20 to $25 million inclusive of the term loan; by the end of the year a further reduction of $10 million from our last guidance. The management group at CMRG has worked very hard at making the necessary adjustments to the business and realigning the infrastructure, and inventory flows to the realities of a new top line sales level. The most significant adjustment that has been made is to the company’s SG&A levels which have been reduced from 2008 by approximately 30 million on  a annualized basis to a level which closely resembles, as I said before CMRG’s SG&A level back in 2005. These reductions were made after reprioritizing all business functions, identifying key areas of focus and carefully analyzing less productive tasks and projects. The brief explanation of the source of these reductions are; 40% of which came from marketing and were achieved by reducing less productive promotions and new customer acquisition activities such as catalog prospecting. 20% of the reductions from store labour productivity improvements resulting from optimizing store operating hours and consolidating several functions such as combining Rochester field supervision which is being combined with Casual Male’s field supervision. 20% of the reduction also coming from corporate payroll reductions resulting from elimination of certain corporate functions, a 5% pay reduction for all salaried employees for 2009. And the elimination of the 401-K 2009 corporate match effective June of 2009. Another 10% from distribution productivity improvements mostly driven from technology enhancements, and finally another 10% from renegotiated service contracts and volume related expenses. So far this year the company exceeded its operating income plan for quarter one by approximately 3.4 million achieving that with a 9.4% decline in top-line sales and was a tad more profitable than last year’s quarter one. Although we do not expect these expense cuts to have any measurable impact upon the company’s sales and gross margin dollars, we will not be certain of any impact until the end of the year. Likewise, we are uncertain as to the level of company’s sales for 2009 given the current economic conditions, but are still operating under the assumption of a 10% sales decline during 2009. Operationally, we are keenly focused on being the industry’s very best and catering to our target market by continuing to transform our cultural focus towards creating an enhanced customer experience by providing our store sales associates and management with better sales training, development tools, and monitoring capabilities , fFurther improving upon our methodology of planning and allocating appropriate assortments to each store considering the unique demographics and lifestyle tendencies of our customers in each of our store locations. Testing a hybrid format, as David spoke about, to better capitalize upon the higher end customer, to improve store productivity in overall profitability for the long term; building our primary brands of Casual Male and Rochester clothing on websites in the European Union which were launched in the third quarter of 2008 and otherwise focused on growing our market share within the smaller size component of the big and tall target market. Therefore CMRG’s business model is based more on servicing, wardrobing and effective contact marketing to our niche market and less on driving traffic through promotional marketing and discounting. Based upon CMRG’s current business model, a year with sales volume of $400 million would be expected to generate gross margin of 46%, $150 million in SG&A or 37.5% of sales, and finally EBIDTA at 8.5% .EBIDTA after that would be expected to vary by 100 basis points for every $10 million dollar increase or decrease in sales volume. I’ll now provide a financial summary of CMRG’s quarter one results. Company reported earnings per share of a penny for the first quarter of 2009 compared to flat per share in first quarter of 2008. Operating earnings were $336, 000 compared to $96, 000 a year ago. Sales in the quarter declined by 9.4% overall and 10.7% on a comparable sales basis. The sales decline was consistent amongst both the retail and direct channels. Casual Male sales which approximate over 85% of our total sales volume were down by 6.7%, while Rochester sales were down by almost 27%. Retail traffic trends were consistent with company’s comparable sales trends. Looking ahead to 2009, the year overall, we are prepared for and expecting consumer traffic and spending to remain weak. And as I said before, therefore forecasting a drop in sales at 10% for the year. Regardless of sales trends, we will execute our strategy of delivering meaningful lifestyle assortments to fill out our customer wardrobes and help them select their most appropriate outfits. Gross margin during the quarter declined by 230 basis points to 42.6% from 44.9% a year ago mostly as a result of unfavorable leveraging of occupancy cost by 180 basis points due to  lower sales volumes. Merchandise margins also dropped by 50 basis points from last year’s comparable first quarter, due primarily to clearance markdowns and quarter four 2008 residual product assortment whose levels have now subsided at the end of the first quarter. As previously stated, for the balance of the year we are expecting meaningful improvements in gross margin each quarter and expect to end 2009 with a 275 to 325 basis point improvement in merchandise margin partially offset by an approximate 150 basis points de-leveraging of fixed occupancy cost. SG&A levels during the quarter dropped by 6.2 million or 14% from last years comparable quarter to 38.1% of sales, an improvement of 220 basis points from last year. Approximately two thirds of the decrease in SG&A in quarter one resulted from moderating marketing campaigns particularly in prospecting catalogue circulation. Inventory levels were 15% less than a year ago at the same time. Comparable store inventories are lower by 18%. Company’s bank debt is lower by  21% or 15 million from a year ago levels in the company’s current credit facility availability approximates $30 million even with the 15% lower inventory level. To reiterate, the company is managing to a free cash flow of approximately $25 million for 2009 and expecting to reduce its bank debt from its 2008 year level by another $25 – $30 million and end the year with $20 – $25 million in bank debt. That concludes my quarter one 2009 comments and now we’ll entertain any questions or comments you may have
Operator: [Operator Instructions] Our first question comes from Scott Presley
Scott Presley: Hey guys, the question on that Casual Male business, you know you acquired Rochester and  you entered these direct businesses sort of to diversify revenue avenues and deter the leverage of fixed cost, but at the end of the day, I guess the issue at Casual Male is that you weren’t driving enough traffic to the store to really increase the store productivity and get higher profitability there so, even once the traffic flattens out overall and we hit bottom here, how do you improve that core Casual Male business?
David A. Levin: I think we are going to win on conversion, and that continues to improve. So, we believe with our existing customer base we could still get a lot more dollars out of them. Again, it is very fragmented even within our best customers they still spend money in other channels and other retailers. And we have been, that has been our strength, it’s been the ability to convert customers into a transaction to try and get a higher AUR, but we certainly are backing off of trying to generate new customers at our stores like we have in the past, because again it is a very expensive proposition and we are more concentrated on the bottom line than we ever have been
Scott Presley: So, basically traffic is going to be where it is going to be if you get 2 customers an hour, so be that if you train yourselves people to up sell and sell more stuff at the roads to higher sale. Is that correct?
David A. Levin: That is correct, we are going to that direction
Scott  Presley: Okay. And then there have been talks in the past, do the hybrid stores ultimately work? Are there more opportunities for that sort of -  I know you are not through with the conversion yet, but what is the thinking maybe 6 or 12 months down the road?
David A. Levin: If these hybrids perform up to our expectations, we’ll change in some energy in our real estate. I think that major markets like Chicago or San Francisco type of markets but St Louis, Minneapolis, Kansas city but we may have 6 or 7 Casual Male stores to populate one hybrid in each of these markets then that would kind of be a super store of more productivity, because we believe in each one of these markets there is a big and tall guy that wants to wear Polo or Calvin Klein, but it would never happenwithout the full fledge Rochester store, if it can’t be [culminated] but having one big store in the market, very effective.
Scott Presley: And then I may have missed your comments in the prepared section, but what is your thought on clothing from Casual Male stores, you know further relocations given that the declining traffic transition
David A. Levin: We will continue to if that is. We always have business as usual on that front, Scott.
Scott Presley: Is there, there is a lot more popping up on the screen that maybe we should have taken effect in the first time round?
David A. Levin: No.
Scott Presley: Okay, good.
David A. Levin: We judiciously closed 70 stores in the last few years and every year, every time a store comes up it starts doing well. So I think I may have said in the last call, but 97 % Casual Male stores are casul.
Scott Presley: Okay. Good stuff. Thanks.
Operator: [Operator Instructions] Our next question comes from Tom Filandro
Thomas Filandro: Thank you. A couple of quick ones, first congratulations, good job in controlling the expenses guys. Can you give us a sense of the inventory positioning by brand and also in the quarter, Dennis maybe can you give us the comp metrics by brand as well.
Dennis Hernreich: The inventory levels in each of our brands are really down a little bit more on Rochester as you would expect and a little bit less so in Casual Male, but both double digits. As I said that the only metrics we care to share here today Tom, is the fact that our comps are consistent with our traffic. In all the other metrics, conversion is up. Average ticket is down slightly and that is how it’s looking for pretty much both businesses.
Thomas Filandro: Hey Denis, are the inventory levels at Rochester in particular, are they where you want them to be or do you still need to see a reduction?
Dennis Hernreich: They are precisely where we want them to be
Thomas Filandro: Okay, so they are more in line with the sales trends?
Dennis Hernreich: Definitely
Thomas Filandro: Okay and can you just give us a view on how IMU should play out for the balance of the year?
Dennis Hernreich: IMU is generally slightly up, our sourcing group has done a good job. We are working hard with our vendors on the costs, we’re not seeing any cost pressures there, we’re constantly reviewing our retail pricing. Generally IMU is steady, to up slightly
Thomas Filandro: Okay. And then one final one I guess this is to either Denis or David in terms of these hybrids, as you move to the convergence of these stores, can you help us understand where you are in terms of your systems and ability of doing that, having any issues or concerns or any risks of managing the inventory as you convert these two concepts?
Dennis Hernreich: No, I don’t see any risk Tom, we are – obviously when we set up Rochester with Casual Male we didn’t anticipate mixing the two at the time. So we’re having to do some tweaks to our applications to allow Casual Male and Rochester merchandisers to see – have vision within Casual Male store. All that is set to go, expected to be ready sometime in the second quarter at which point we will convert the five stores into hybrids.
Thomas Filandro: A final one. Any updates on [living] BNT shoes on either online businesses?
Dennis Hernreich: Making money
Thomas Filandro: As a group?
Dennis Hernreich: As a group
Thomas Filandro: And directionally we should expect that to continue to be a positive contributor for the balance of the year?
Dennis Hernreich: Yes. Sales are down but they are profitable.
Thomas Filandro: Okay. Thank you  very much gentlemen. That’s the lot
Operator: Our next question comes from Garry Giblin
Garry Giblin: Yes. This is Garry Giblin. Hi. Good morning David, Denis and Jeff. In the release you talked about improved supply contracts, is that buying your merchandise or is that …?
David A. Levin: They are more on the servicing side, Garry. And we’re constantly reviewing our merchandise cost, but we’ve taken perhaps a bit more dramatic steps on certain larger service contracts that we have with our partners.
Garry Giblin: You mean, service partners, not merchandise partner?
David A. Levin: Service partner.
Garry Giblin: With then begs the question of you know, in this environment do you have room to push back on your merchandising forces?
David A. Levin: I think that’s in constant motion Garry
Garry Giblin: Okay. Sounds like you got that in motion. And then, in the last couple of conference calls you said the sales somewhat correlated regionally with weak housing areas of sales, weaker sales but there’s been a few companies saying that Florida is beginning to improve and California definitely is improving and the general economy. So, are you finding that corresponding to your business?
David A. Levin: I think it’s been consistent what we’ve said before. Florida has come back somewhat, California, I would say would be our toughest market right now.
Garry Giblin: Okay, California seems not to be coming back from the Casual Male side or as Florida is?
David A. Levin: I would say it’s been consistent with the last two months. It’s stabilized. It hasn’t gotten any worse.
Dennis Hernreich: And it is moderating as time goes on, I mean, that’s what we’re seeing. Still down a little more than the average store in the chain, but it’s not declining at the same slope as it was before.
Garry Giblin: Okay great. And then, I mean amidst this bad economy, what are the merchandise categories of greatest strength? I mean I imagine maybe accessories, but you know you could express that a little bit.
David A. Levin: You mean, you are asking what categories are performing?
Garry Giblin: Yes, what are the good performing categories?
David A. Levin: Seasonal stuff is doing quite well. Our biggest growth category has actually been Screen T-shirts, we’re doing phenomenal in that category. We’re having a very good short run right now which is encouraging because we really haven’t had the best of weather yet, so those businesses are pretty healthy and everything else is pretty well consistent with where it’s been before – but those two areas are by far our strongest performers.
Garry Giblin: I mean, would those three areas correspond to lower than average IUR’s just by virtue of this nature of these items?
David A. Levin: I don’t think so.
Dennis Hernreich: I mean our Screen Tees are $25-$30, our shorts are $45, so we haven’t seen that.
Garry Giblin: That’s really the product.
David A. Levin: The AUR is notI didn’t mean to imply it was. IUR’s is not down at all Garry, it’s probably more on the units per transaction is slightly down.
Garry Giblin: Yes I know that was my own inference that I was wondering about on the IUR, but, okay thank you very much guys
David A. Levin: Okay
Operator: If you do have a question please press the 1 key
David A. Levin: Okay, it doesn’t sound like there’s any further questions, so we appreciate your phoning in today and we look forward to some good results in Q2 also. Thank you very much.
Operator: Ladies and gentlemen that concludes today’s program, you may now disconnect and have a wonderful day
Jeff Unger: Thank you, Mary
Operator: Thank you